Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2008 CONMED Earnings Conference Call. My name is Sean Fillet and I will be your facilitator for today’s call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). I would now like to turn the call over to your host for today, Mr. Joseph Corasanti, President and CEO. Please proceed, sir.
Joseph J. Corasanti - Chief Executive Officer and President: Thank you, Sean Fillet. Good morning. Welcome to CONMED Corporation’s third quarter 2008 earnings conference call. With me today is Rob Shallish, our Chief Financial Officer. After formal remarks, the call will be open for questions. Before we begin, let me remind you that during this call we will be making comments and statements regarding our financial outlook which represent forward-looking statements that involve risks and uncertainties as those terms are defined under Federal Securities Laws. Our actual results may differ materially from our current expectations. Please refer to the risk factors and other cautionary factors in today’s press release, as well as our SEC filings for more details on factors that may cause actual results to differ materially. You will also hear Rob and me refer to certain non-GAAP measurements during this discussion. While these figures are not a substitute for GAAP measurements, company management uses them to aid us in monitoring the company’s ongoing financial performance from quarter-to-quarter and year-to-year on a regular basis and for benchmarking against other medical technology companies. Non-GAAP net income and non-GAAP earnings per share measure the income of the company excluding credits or charges that are considered by management to be unusual or outside of the normal ongoing operations of the company. These unusual items are specified in the reconciliation stated in the press release issued this morning. With these required announcements completed, I can now turn to our results. CONMED once again had excellent quarterly financial results. Here are the highlights for the third quarter of 2008: Sales increased 9.1% over the third quarter of ’07. GAAP diluted earnings per share grew to $0.36 per share, a 24% increase compared to EPS of $0.29 in the third quarter of ’07. After eliminating plant restructuring costs, non-GAAP EPS was $0.37 per share, an increase of 28% compared to the GAAP EPS $0.29 in last year’s third quarter. Cash from operations continued to be strong. For the first nine months of the year, cash from operating activities was $55.8 million, a 57% increase compared to the first nine months of 2007. Strong quarterly performance was driven by positive sales growth across all of our product lines. As we often mention 75% of our product portfolio is comprised of single-use medical devices while the remaining 25% consists of capital equipment such as our video assistance. While this ratio will vary slightly quarter-to-quarter, it is a good rule of thumb. In this just completed quarter, we had a good mix of single-use versus capital growth with our single-use devices growing 9.4% and our capital products growing 8.3%. This indicates to us that both surgical procedure rates and the demand for the types of capital products we provide were strong in the September quarter this year. Now I will review each of the product lines in more detail. CONMED’s Arthroscopy product line consists of minimally invasive medical devices designed to repair soft tissue injuries in the joints, such as ACL repair in the knee and rotator cuff repair in the shoulder. This business is also referred to as sports medicine because many of the injuries giving rise to the surgical repair are caused by sports-related activities. In the third quarter of 2008, this product line grew 18% overall and 17% in constant currency compared to the same period last year. This was clearly another very strong quarter for Arthroscopy products and was driven by 18.2% growth in our core Arthroscopy products and 17.5% growth in the imaging portion of the line. Now let me move to the Powered Surgical Instruments line, which consists of electric, battery and pneumatic-powered surgical instruments used to perform orthopedic and other surgical procedures. Here we experienced revenue growth of 6.9% in the third quarter within this business especially strong were our large-bone Powered Surgical systems and disposables. The Electrosurgery line had growth of 2.6%. This compares to double-digit growth in the first half of the year. The decreased growth was due to reduced generator equipment sales after experiencing 31% growth for these devices in the first six months of the year. On a positive note, Electrosurgical’s single-use product sales growth remained consistent with the first part of 2008 growing 8% compared to the third quarter of 2007. As a reminder, Electrosurgery is used in 80 to 90% of surgical procedures and we hold the number two market share position in this market. To reiterate, the 8% growth in single-use products indicates to us that surgical procedures continued in the third quarter at a cost and growth rate. Switching to our Endosurgery line, which consists of a broad range of products enabling minimally invasive surgery of the abdominal region without making a major incision, third quarter saw a pullback from the double-digit growth of first half of 2008. Although the sales increase for the line was only 2.6% in the third quarter, we believe this lower growth is only a one-quarter phenomenon as the division is anticipating return to double-digit sales growth sales increases in the fourth quarter of this year. Our Patient Care line of products consists of heart-monitoring electrodes, pulse oximetry monitoring, surgical suction tubing and various other devices used in clinical settings. These products experienced a lower growth rate in the third quarter after producing sales increases of 13.8% in the second quarter. On the new product front, we are on track with the rollout of our ECOM Cardiac Output Monitoring Device. We now have 15 monitors in the hands of customers who are purchasing the related single-use endotracheal tubes that also detect the patients cardiac output. You may recall that our ECOM product is a monitoring device designed to measure to cardiac output in a non-invasive manner. Competitive technology for cardiac output monitoring of patients in surgery involves placing a thermal ablation catheter into the patient’s jugular vein and threading the catheter into the patient’s heart. Because of the invasiveness of the catheter and the inherent risks associated with the use of such a device, anesthesiologists cautiously use these devices in cardiac surgery cases and refrain from using the catheter in other types of surgical cases even though the cardiac output measurement would be useful to them in maintaining the health of the patient during surgery. The initial feedback we have received from customers who are using ECOM has been quite positive and we remain excited about the future of this product. Besides the small number of institutions where we are recording sales, we are continuing our studies at five other institutions for the purpose of completing data and support of clinical white papers. ECOM has been successfully used in over 140 cases since the beginning of the study. Our next goal is the placement of an additional 100 monitors by the end of the year to expand the limited market release. For 2009, we expect to have 300 to 500 ECOM systems in the field generating disposable sales of approximately $30,000 per year per system. Lastly, as anticipated our Endoscopic Technologies line, return to positive growth in the third quarter. We are excited about the new products we have introduced in this line and are confident that the issues we have encountered over the last three years are now behind us. Now I would like to spend a few moments bringing you up-to-date on the manufacturing restructuring we have underway here at CONMED. As discussed in our last quarter’s call we have adopted a goal of continuous improvement in our operations. One facet of this goal is achieving improvements in manufacturing efficiency using the principles of lean manufacturing. Over the last year and half we have held numerous so called Kaizen events, where a team will dissect the manufacturing process of a work cell in one week’s time and implement changes to foster a more efficient process. While no one efficiency improvement to a manufacturing cell is significant in itself, the accumulation of each small improvements adds up overtime. We are now beginning to see the positive effect of this type of accumulating activity as demonstrated by the expansion of our gross margin percentage to 52.8% of sales from 50.1% of sales in the third quarter of 2007. Last month our lean manufacturing initiatives received national recognition our team in Utica was awarded the 2008 Perfect Engine Site Award from TBM Consulting Group for our success in using Kaizen and other methodologies to make customer focused improvements throughout our value change. We were one of over 200 companies considered for the award and it is a testament of the hard work of our employees who are enabling these beneficial changes to our operational process. The next step in our efficiency plan involves plant consolidation as we discussed with you in our last conference call. We are on track with the opening of a new manufacturing plant in Chihuahua, Mexico. In just few days we will begin additional manufacturing activities at that site. The gradual move of production lines into the plant will occur over the next 12 months in a staged and such a manner as to ensure that we will maintain our customer service goals. As we discussed three months ago, we will move certain of the product lines manufactured in our upstate New York location to this lower cost facility. As space opens up we will consolidate the remaining Utica, New York area manufacturing into our headquarters location and close the other two plants in New York. Further, we will be closing the manufacturing support facility we currently have in El Paso, Texas and we will also move production from the contract manufacturers in Juarez, Mexico. We expect that this consolidation plan will result in a loss of approximately 100 to 150 manufacturing positions in the New York and 50 in El Paso. In the third quarter, we incurred $709,000 in costs related to the restructuring and expect similar or higher costs on a quarterly basis over the next year. We take these actions to enable the company to produce our products at cost – as cost efficiently as possible and to remain competitive in today’s global market. As we look out to the remainder of 2008, considering current economic developments, I want to take this time to express CONMED’s confidence in its ability to continue the momentum we’ve generated in the first nine months of the year. As a reminder, 75% of our product portfolio consists of single-use devices used in a wide range of surgical procedures with the remaining 25% being our capital products also used in a wide range of surgical procedures. After pooling our sales and marketing teams we’ve not yet seen any change in the numbers of procedures requiring our single-use products. While our capital products – with our capital products none of which can be characterized as being big ticket item, the evaluations, proposals and pending buyer decisions of our customers cause us to believe that the fourth quarter sales should be on track with our expectation. Therefore we believe that the company’s revenue in the fourth quarter of 2008 should approximate 192 million to $197 million and that the non-GAAP earnings per share should be between $0.42 and $0.46. These expected non-GAAP per share estimates have eliminated the manufacturing, restructuring costs I mentioned a few moments ago. As stated in this morning’s press release, while the expected underlying growth in the quarter will be strong, comparisons with prior year period are not likely to fully reflect this trend. Q4 2007 included approximately $10 million of Integrated Systems installation at an unusually large number of hospital customers that chose to delay installations until late in the year. As our results have indicated, our Integrated Systems revenue has been spread out more evenly throughout 2008. On this October conference call, we have historically given guidance on our financial expectations for the next calendar year. While we considered postponing providing this guidance for another quarter because of economic developments, our historical prospective and the nature of our business leads us to believe that we can reasonably estimate how the company will perform in 2009. As I mentioned, the majority of our products are dependent on the number of surgical procedures that surgeons are performing. Injuries and illnesses requiring surgery are not impacted by the economy, so demographics continue to be in our favor. The only question is whether some patients may elect to postpone an elective surgery. And while that may occur to a certain degree, injuries and illnesses requiring surgery continue to occur and will need to be addressed before too long. So, even if there is a delay in procedures due to economic concerns, surgical procedures should return to historical rates of growth in a fairly short period of time. We have seen this be the case in other periods of economic uncertainty. As far our capital products consisting of surgical video systems, powered surgical instruments, hand pieces and electrosurgical generators, it is our experience that none of these are in the category of highly expensive projects or equipment that should come under greater scrutiny by hospital management because of the economy. Most of the sales of our capital products are replacements for similar equipment in the operating room that have outlived their useful lives. Thus we believe these replacement sales will continue at reasonable growth rates. With that background, we are forecasting 2009 revenues to approximate a 6% increase in constant currency over 2008 amount. And that we estimate the company’s non-GAAP diluted earnings per share for 2009 to approximate $1.77 to $1.85. In summary, while these are uncertain economic times, we believe our investment in R&D and strong reputation in the marketplace have CONMED well positioned to continue its growth and profitability, while not losing site of our goals for excellent customer service. I will now turn the call over to Rob Shallish for a further review of our financials. Rob?
Robert Shallish - Chief Financial Officer: Thanks very much, Joe, and good morning everyone. As Joe mentioned, the company’s third quarter was a further continuation of the consistent earnings growth experienced over the last several quarters. Sales for the September 2008 quarter were 179.4 million, an increase of 9.1% over the third quarter of 2007. In constant currency, the rate of growth was 8.3%. By geography, sales outside the United States outpaced domestic revenue growth by increasing 17% in the third quarter and amounted to 42.9% of our total sales. On a constant currency basis, the weakening of the US dollar relative to a year ago produced a third quarter sales number, $1.3 million higher than if foreign currency exchange rates had remained consistent with the third quarter of 2007. However, FX changes compared to a year ago also produced higher expenses that more than offset the benefit at the top line. Approximately $700,000 of additional expense was incurred due to the translation of our normal overseas sallied and marketing activities. Additionally, approximately $2 million in additional expense was incurred due to the rapid strengthening of the dollar in the last few weeks of the September quarter and the effect of this currency change on the company’s intercompany balances with our subsidiaries. Accounting for foreign currency translation requires that we record the effect of these changes immediately. So in total, the net effect of the third quarter’s currency changes produced an additional expense of $1.4 million, which is equivalent to $0.03 per share. As of the end of September, we have entered into several currency hedges with a goal to minimize the future impact of currency changes on the intercompany balances. Before turning to a discussion of profits and margins, I would like to discuss comparisons to GAAP and non-GAAP financial amounts. It has been our practice to call out adjustments to the GAAP numbers, which we and management consider critical when analyzing our ongoing business operations and believe that investors may also find this information useful in evaluating our performance. In the third quarter of 2008, such adjustments totaled $709,000 and relate to the additional cost we have incurred as part of the manufacturing restructuring plan Joe mentioned a few moments ago. In the third quarter of last year, there were no such non-GAAP adjustments. For the first nine months of 2008, the non-GAAP adjustments are the third quarter’s manufacturing restructuring and the first quarter’s pre-tax charge of $1 million related to the purchase of our Italian distributor earlier this year. For comparative purposes, the first nine months of 2007 had several non-GAAP adjustments, by far the largest being the gain on a legal settlement of $6.1 million recorded in the first quarter of 2007. This settlement in the first nine months of 2007 net of the other non-GAAP adjustments led our GAAP earnings to outpace our non-GAAP earnings by $0.10 in that prior period. So, on a GAAP basis, the company’s diluted earnings per share for the third quarter of 2008 were $0.36 compared to GAAP EPS of $0.29 in the third quarter of 2007. While the non-GAAP EPS for the third quarter of 2008 was $0.01 more at $0.37 compared to $0.29 in the comparable period last year. Now I would like to turn to a discussion of our margins. Our gross margin percent of sales was 52.8% in the third quarter of 2008 compared to 50.1% in the third quarter of 2007. This 270 basis point improvement is principally a result of the lean manufacturing initiatives that Joe highlighted, the higher gross margin on our Italian sales due to the fact that we are now selling direct to hospitals in that country and foreign currency exchange rates. SG&A as a percentage of sales was 37.8% in the third quarter. Without the additional $2 million charge resulting from the FX accounting on intercompany accounts, the percentage would have been 112 basis points lower, in line with the SG&A percentage to sales we demonstrated in the first and second quarters of this year. For the nine months of 2008, SG&A as a percentage of sales was 36.6% compared to 34.8% in the nine months period of 2007. The increase is due to the effects of foreign currency translation on the costs of our international operations and the SG&A costs related to our newly acquired Italian direct operation. Research expenditures were 4.8% of sales in the third quarter of 2008, consistent with the 4.8 of sales in the third quarter of 2007. But none of these changes results in a GAAP operating margin for the 2008 third quarter of 9.8% compared to the GAAP operating margin of 10.3% in the 2007 third quarter. However, on an operating basis, backing up the cost of the manufacturing restructuring and the $2 million FX charge, the adjusted operating margin for the third quarter is equivalent to 11.3%, similar to the margin percentages in the first and second quarters of 2008. Interest expense was $2.4 million, a 37% reduction when compared to interest of $3.9 million in the third quarter of 2007. The reduced interest cost resulted from lower debt levels as well as a decrease in rates compared to a year ago. Our GAAP pre-tax margin for the quarter grew to 8.4% of sales compared to 7.9% of sales in the third quarter of 2007. Adjusted for the restructuring and FX charges, our pre-tax margin was equal to 9.9%, 200 basis points higher than last year. The company’s income tax rate in the third quarter was 30.3% compared to 36% in the third quarter of 2007. The rate is lower due to positive adjustments resulting from the completion of IRS audits and state tax matters. In the fourth quarter of 2008, we expect that the effective tax rate will approximate 36%. As mentioned in past conference calls, payment of nearly all of this tax provision is deferred to future periods because of differences in reporting expense for financial accounting compared to tax accounting, thus increasing the company’s current cash flow. Staying with cash flow, CONMED’s cash flow provided by operations continues to be very positive amounting to $55.8 million for the first nine months of 2008. I would especially like to highlight the fact that this operating cash amount is 1.6 times greater than the company’s net income. The superior amount of cash compared to net income is a result of the non-cash charges associated with equity compensation, amortization, depreciation, and perhaps most importantly, deferred taxes. Much of the deferred taxes will become payable only as a result of unusual event outside of the normal operations of the business, such as the sale of a major part of our business. So as a practical matter, the deferred taxes would not reverse and become payable in the foreseeable future. Now turning to the balance sheet, the company’s cash balances had grown by approximately $20 million since December 2007, and 26.5 million since last September. The company’s debt balance is $21.4 million less than last September. As a result of the company’s earnings and debt reductions, debt-to-total book capitalization declined to 28.9% at September 30, 2008 compared to 33.2% at the end of September 2007. Now turning to specific balance sheet accounts with regard to inventory, our days investment and inventory at September 2008 was equal to 170 days, about where we have been running in the last few quarters. In absolute dollar terms, the company’s inventory balance declined approximately 3.5 million from December 2007. Accounts receivable days in September 2008 adding back the effect of the $40 million utilization of the securitization facility were 70 days, in line with our historical average. In absolute dollar terms, receivables have increased since December as a result of the acquisition of the Italian distributor. So with that operator, I would now like to open the lines for questions.
Operator: (Operator Instructions). Your first question comes from the line of Mr. Raj Denhoy of Thomas Weisel Partners. Please proceed, sir.
Raj Denhoy: Good morning, guys.
Joseph J. Corasanti: Good morning, Raj.
Raj Denhoy: Couple of questions actually on the margins and then a product question as well. Obviously the gross margin improvement was nice (Ph) in the quarter and it sounds like it’s going to continue to play out. Can you give us a sense of what trajectory of that might look like as you are moving manufacturing to Mexico over the next several months?
Joseph J. Corasanti: Well, Raj we see a gradual improvement in our gross margin. We really haven’t -- I guess we are not in a position at present to highlight what those changes may be. We do think that on an annual basis, the changes that we’ve announced relative to changes in our manufacturing plans would give us approximately 3 to $5 million of additional benefit by the end of the year. At this time next year we should see a run rate benefit of 3 to $5 million.
Raj Denhoy: Out of the cost of goods line?
Joseph J. Corasanti: Out of the cost to goods line, yes.
Raj Denhoy: Okay. And then, the other source of margin which I don’t think materialized much in the quarter might have been masked a little bit by this FX effect of your intercompany transfers, but I think there has been a -- you guys have spent a lot and you guys invested a lot I should say in SG&A over the last several years. When can we start expecting to see some significant margin or leverage to flow out of that line?
Joseph J. Corasanti: Well, I think the reason for the increase this year in SG&A as a percentage of sales has totally been related to foreign currency, which makes it more expensive to do business in the international location. So, that’s one piece of it. And then the second piece being the acquisition of the Italian distributor, so obviously when we are selling to them as a distributor, we did have selling and administrative cost in Italy, now we do it because we are direct. So those two factors only have been the cause of SG&A increasing this particular year. As we go forward, we do think that we should see leverage on that particular percentage. So a combination of sales growth at the top line and minimizing the growth in our overhead expenses in SG&A should allow us to see some benefit in the SG&A percent to sales.
Raj Denhoy: Okay and just a point of clarification too, it sounds like you are going to start hedging those intercompany transfers. There is obviously some cost associated with that, but do you expect that to be a net benefit to you in SG&A going forward?
Joseph J. Corasanti: Yes, absolutely. It takes away the risk, we have recorded -- over the last year we recorded some benefit on these intercompany accounts because of the weakening of the dollar. This particular quarter with everything happening so rapidly with exchange rates, it ends up being $2 billion number. So by hedging those intercompany transactions effectively, we are eliminating the risk.
Raj Denhoy: Okay. And then just on the product line, I mean your arthroscopy number was strong again here in the quarter, comps there again start getting somewhat difficult in the fourth into next year, what's your level of confidence you can sort of maintain this kind of teens growth in that business going forward?
Joseph J. Corasanti: We are pretty confident. We have got some very strong momentum going into 2009, with that the entire line we are seeing improvement on the US sales line and seeing improved traction really on a lot of the new products. As far as video goes, I am pretty confident that we will be maintaining the strong growth in video for the high definition video system.
Raj Denhoy: So it’s -- I mean -- so you are not expecting even while the comps are getting tough, you will see that sort of fall off, we should maintain it pretty strong level of growth here for at least the fourth quarter and into next year?
Joseph J. Corasanti: Yeah.
Raj Denhoy: Okay, very good. Thanks a lot.
Operator: Your next question comes from the line of Dalton Chandler of Needham & Company. Please proceed sir.
Dalton Chandler: Hi, good morning.
Joseph J. Corasanti: Hi Dalton.
Dalton Chandler: Hi, let me just ask first a product question on the ECOM. First of all, I just want to make sure I heard you right, you think you can generate about 30,000 per year per system in disposables revenue. And did I hear that correct?
Joseph J. Corasanti: That’s correct yes.
Dalton Chandler: Okay. And then, how do you anticipate pricing the capital equipment and the disposables?
Joseph J. Corasanti: For the pricing on the disposable trach tube is $150 per tube. And the system, the monitoring box, the current plan is to place the box as long as customers are willing to buy at least between 10 to -- I guess a minimum of 10 trache tubes per month. But, the box does have a sales price and so right now we haven’t sold one and I don’t anticipate selling one for several months. What if a customer does elect to purchase a monitoring box, they certainly can and the price will be probably around $15,000.
Dalton Chandler: Okay. And then, Rob I am sorry, did you give us the impact of the Italian acquisition for year-over-year comparable?
Robert Shallish: Well, in the third quarter, the top line benefit so the addition to sales as a result of selling direct to hospitals rather than through distributor was approximately 3.4, $3.5 million.
Dalton Chandler: Okay.
Robert Shallish: And the additional expenses that we had in selling and administration were equivalent to about $3 million. So, net benefit in the third quarter was about $500,000.
Dalton Chandler: Okay, great. And in the past with the increase in commodity prices, you’ve talked about how that impacts your margins and your efforts to try to contain that now in a very short period of time we have had a complete reversal of that. Do that figure into your guidance for next year or is that something that might still be some upside out there?
Joseph J. Corasanti: That’s an interesting question, because obviously base petroleum and base plastics should come down. We really have expected that into any great extent. But, some of the ancillary chemicals we’re still seeing price increases in it and we do have some concern about increased cost as a result of these ancillary chemicals that go into the manufacturing process. Whether they -- whether that pricing continues to remain higher, will be interesting to see, but in general we have assumed pretty flat cost at present in this estimate.
Dalton Chandler: Okay. Thanks a lot.
Operator: Your next question comes from the line of Mr. James Sidoti of Sidoti & Company. Please proceed, sir.
James Sidoti: Good morning, can you hear me?
Joseph J. Corasanti: Yes. Hi Jim, how are you?
James Sidoti: Good, good. Nice to hear couple other people on the call. I wanted to ask a couple of questions. First, on the Endoscopic Technologies line, it’s been a few quarters -- it’s been more than a few quarters since you’ve shown steady growth in that line. Do you think you are over the hump now, do you think that from this point on we can start to see growth?
Joseph J. Corasanti: Yes. I think that’s what we will be expecting. That growth is going to be driven by new products that came out with four fairly significant new products this year. So, I think we are in well position to grow that business from this quarter forward.
James Sidoti: Okay. And then on the Electrosurgery line, I think you said there was a new tissue-sealing product in the fourth quarter this year, is that still the status or can you update us on that?
Joseph J. Corasanti: Yeah, our tissue-sealing device, that’s true. We have been talking about that for six to nine months. We – well, probably – well, six to nine months or a year ago I think we spoke about the tissue-sealing product being released in late Q4 of this year, that won’t be the case. It looks like we are now looking at probably April or May to launch that new product. So, that’s our vessel sealing device also know as tissue-sealing and it operates on a very unique energy source, something that’s different than the products that are currently on the market.
James Sidoti: Is that something you will need a 510(k) for?
Joseph J. Corasanti: Yeah, that’s just a 510(k).
James Sidoti: Do you have that yet?
Joseph J. Corasanti: No.
James Sidoti: Okay. Is that what’s holding up the launch or there are other issues?
Joseph J. Corasanti: Well, yes, you could say that’s holding it up, but actually I am not even sure if we’ve even applied for the 510 (k) yet, it should only be about a 30 -- 60 day – 30 to 60 days process. But we were late in freezing the design of the device as we went through our validation testing on the device. So, we ended up making some design changes to meet basically the product inputs that were required.
James Sidoti: Okay. And are there any sales for that product factored into your ’09 guidance?
Joseph J. Corasanti: Yes, there are some sales for that product in our guidance, yes.
James Sidoti: More heavily towards the fourth quarter though?
Joseph J. Corasanti: Correct, that will be right.
James Sidoti: Okay. And then on the balance sheet Rob, do you plan on paying down anymore debt in the fourth quarter?
Robert Shallish: Given the current state of the world at present, the economic world, I think we feel pretty comfortable with liquidity, so we don’t have any demands on us to repay debt. The cash balance has increased and our present thought is to build the cash balance.
James Sidoti: Okay. And then just with regards to the non-cash charge on the convert. I assume there is something that affects 2008 numbers as well. So, will the effecting be about that $0.06?
Robert Shallish: Yeah, that’s correct. It’s a very complicated calculation. We are going to – we’ve done our own internal estimates of what the number is, but we are going to hire some evaluation assistants to help us come up with an exact calculation. But in rough terms, the number should be the same for 2009 and retroactively the 2008.
James Sidoti: Okay. So after the restatement, I guess, you are still looking from growth in the low-teens area for next year on the bottom-line?
Robert Shallish: On the bottom-line, yeah that would be right because basically the $3 million will affect both ‘08 and ‘09.
James Sidoti: Okay. All right, thank you.
Operator: Your next question comes from the line of Mr. Matt Miksic of Piper Jaffray. Please proceed.
Matt Miksic: Hi, thanks for taking the question. Follow-up on the arthroscopy business, you commented earlier about your strong growth continuing likely to continue there particularly on surgical video. Can you talk at all about how much of that I guess is what’s driven by surgical video, how much is driven more by the products or procedural type revenues?
Robert Shallish: Yeah, I think in the past we had most of the growth coming from video sales, ’07 was about 36% growth, so far this year -- we’re around the 20% for the year-to-date. Video sales growth will probably come down slightly, but what we are going to see is what we had been hoping for is that the core arthroscopy product line will start to grow faster both in the US and outside the US. We’ve spoken in the past about one of our immediate goals when they improve the performance of core arthroscopy products both procedure-specific, as well as resection and fluid improve the performance of those product lines in the United States. And so, we expect, we’ve seen a little bit of that already this year and we expect to see even further improvement going forward.
Matt Miksic: And is that -- are there any new products that you are rolling there or is it just sort of improved pull through behind the camera?
Joseph J. Corasanti: It’s improved pull through behind the camera. One of our, of course, short-term goals we knew that would happen as we started to have more of an installed base of cameras, but also we’ve got some new products that were launched last year at the Academy and some new products that will be coming out in Q4 and then of course there is probably five or six new products focused on procedure-specific and they will come out at the February Academy in Las Vegas.
Matt Miksic: And then just one more on that. Just to clarify your, I guess, how things are going competitively, I am assuming this is opening up new accounts for you, sort of building out your sort of base of hospitals that you work with. Any sense of sort of share or do you talk at all about number of placements or the size of the market or your ability to sort of build out your footprint?
Joseph J. Corasanti: I don’t know if we talked about that in the past but what I know today is that the video market for both arthroscopy and general surgery is about $500 million and we are getting close to – well, we certainly have over 10% of that market today and I think that with the way things are going we should have 20% of that market very shortly.
Matt Miksic: Great. And then, just generally, I know that some of you talked earlier about some of these procedures, if there are deferrals, these things, surgical procedures need to be done sooner or later and will come back. I am sure you get this question a lot, but if you look at the kinds of surgical procedures that your instruments are used in do you have a sense of how many of those are sort of acute versus chronic or deferrable?
Joseph J. Corasanti: Yeah, you know, when we talk about deferrable elective procedures nothing we are talking about is cosmetic surgery which is deferrable forever.
Matt Miksic: Of course.
Joseph J. Corasanti: When we are talking about -- really what could be deferrable is your ACL repair or your rotator cuff repair in the shoulder. We think -- our experience has been that, you know, you can get along for few months, maybe even a year without having -- going without your knee repaired. But you go longer, I think, it’s something that the customer, the patient just does not going to want to do. I think it’s a burden to walk with a limp, it’s a burden to walk with a cane, it’s also not healthy. It’s not healthy to go to have your ACL be torn and so that you can’t exercise. Your health will deteriorate over time if you don’t get that fixed.
Matt Miksic: Yeah. No, we’ve seen some great data about that recently. It doesn’t seem to be affecting your business at the moment but in the market and as we look into Q4 may be it’s a flip of a coin or a toss-up or hard to predict, but any sense that we might see sort of an uptick of people looking to capitalize on their deductibles or year-end flush of deductibles as we get into Q4?
Joseph J. Corasanti: You know that’s a coin flip, I think Matt. It’s very possible. There is two theories here that people are going to accelerate these kind of procedures because they are concerned about the health insurance. They have it now, so let’s get the procedure done while I still have a health insurance, so that’s on the one side. On the other hand, there is the other theory that gee, I am concerned about the economy. I don’t want to spend the money on the deductible. Maybe I will hold off for a couple of months. I think that’s a coin flip. I can’t tell you which theory might be appropriate. So we are going right down the middle. We are saying we are going to stay with our expectations. I believe the growth rate will continue and we should have a good fourth quarter.
Matt Miksic: And then the other dimension of this is sort of term of rehab right? I mean if you look at your procedures versus some of the other procedures in sort of musculoskeletal, is it fair to say that you have sort of I don’t want to put words in your mouth but more sort of weekend rehab procedures, shorter a week or two kind of rehab rather than three and four month rehab.
Joseph J. Corasanti: You know, I think that’s true. I don’t think the rehab is as long especially if you do a hamstring ACL repair versus a patellar tendon repair and of course the patellar tendon option is usually reserved for your professional athletes or someone who is vigorously engaged in sports activity, you may choose a patella.
Matt Miksic: Okay. That’s helpful. Thanks for taking the questions.
Operator: At this time, there are no further audio questions.
Joseph J. Corasanti: Well, I want to thank everyone for joining us today. CONMED continues to work hard to improve the company’s operations and we are pleased with our results to-date. We look forward to discussing our further progress with you at our next conference call. So thank you very much. Have a good day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.